Operator: Good afternoon. My name is Krista, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Second Quarter 2023 RH Q&A Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I will now turn the conference over to Allison Malkin of ICR. You may begin your conference.
Allison Malkin: Thank you. Good afternoon, everyone. Thank you for joining us for our second quarter fiscal 2023 earnings conference call. Joining me today are Gary Friedman, Chairman and Chief Executive Officer, and Jack Preston, Chief Financial Officer. Before we start, I would like to remind you of our legal disclaimer that we will make certain statements today that are forward-looking within the meaning of the federal securities laws, including statements about our outlook of our business and other matters referenced in our press release issued today. These forward-looking statements involve a number of risks and uncertainties that could cause actual results to differ materially. Please refer to our SEC filings, as well as our press release issued today for a more detailed description of the risk factors that may affect our results. Please also note that these forward-looking statements reflect our opinion only as of the date of this call and we undertake no obligation to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. Also, during this call, we may discuss non-GAAP financial measures, which adjust our GAAP results to eliminate the impact of certain items. You will find additional information regarding these non-GAAP financial measures and a reconciliation of these non-GAAP to GAAP measures in today's financial results press release. A live broadcast of this call is also available on the Investor Relations section of our website at ir.rh.com. With that, I will turn the call over to Gary.
Gary Friedman: Thank you. Let me begin with our letter to our people, partners, and shareholders. Revenues of $800 million and adjusted operating margin of 20.2% exceeded our guidance for the second quarter due to a $25 million revenue benefit from faster-than-expected deliveries and a shift of approximately $40 million of advertising costs from Q2 to Q3, reflecting the later mailing of our RH Interiors Sourcebooks. We are raising the low end of our revenue guidance for the year and now expect revenue in the range of $3.04 billion to $3.1 billion versus our prior outlook of $3 billion to $3.1 billion and are maintaining our outlook for adjusted operating margins of 14.5% to 15.5%. We continue to expect the luxury housing market and broader economy to remain challenging throughout fiscal 2023 and into next year as mortgage rates continue to trend at 20-year highs and the current outlook for rates to remain unchanged until the second quarter of 2024. The company repurchased 3.7 million shares in the second quarter at an average price of $325.65, representing approximately 17% of the total shares outstanding at the beginning of the second quarter. Product Elevation. We recently mailed our new 604-page RH Interiors Sourcebook, and while it's too early to read the response with only 40% of the mailing in-home this week, the early indications do look promising. We continue to expect our business trends to inflect in the second half of this year with the mailing of our RH Contemporary Sourcebook in late October and our RH Modern Sourcebook in early January, as well as the refresh of our Galleries over the next several quarters. We believe our inflection point will peak in the first half of 2024 as our new collections fully ramp and we begin another cycle of Sourcebook mailings, completely transforming and refreshing the assortment across the entire brand over a 12-month period. We believe the new collections reflect a level of design and quality inaccessible in our current market and a value proposition that will be disruptive across multiple markets, positioning RH to gain market share throughout fiscal 2024. While a product transformation of this magnitude will be margin dilutive in the short term as we cycle out of waning collections, we believe it will once again become margin accretive as selling rates stabilize and allow for supply chain and sourcing efficiencies. Platform Expansion. Our plan to expand the RH brand globally, address new markets locally, and transform our North American Galleries represents a multi-billion dollar opportunity. This summer, we introduced RH to the United Kingdom in a dramatic and unforgettable fashion with the opening of RH England, the Gallery at the Historic Aynho Park, a 17th-century, 73-acre estate that is a celebration of history, design, food, and wine. We had a spectacular turnout for our opening event in early June and the national and global press coverage the brand received was multiple times greater than any Gallery we've ever opened. Due to RH England's countryside location, we expect the majority of revenues to be driven by our interior design and trade businesses which are dependent on building books of business with high value repeat clients like interior design firms and hospitality projects. The quote books are building and we will soon mail our first Sourcebook in the United Kingdom. While pleased with the early response, there is still much to learn about the seasonality of the business in the English countryside, especially in the winter season. We'll know more once we start mailing Sourcebooks and experience a couple of seasons. Our global expansion also includes opening the openings in Dusseldorf and Munich later this year with Paris, Brussels, and Madrid scheduled for 2024, and London, Milan, and Sydney for 2025. Regarding our North American transformation, we continue to plan opening RH Indianapolis and RH Cleveland in the second half of this year, while RH Palo Alto and RH Montecito will now open in early '24. Additionally, we have 12 North American galleries in the development pipeline scheduled to open over the next several years. We also believe there is an opportunity to address new markets locally by opening design studios in neighborhoods, towns, and small cities where the wealthy and affluent live, visit, and vacation. We have several existing locations that have validated this strategy in East Hampton, Yountville, Los Gatos, Pasadena, and our former San Francisco Gallery in the Design District where we've generated annual revenues in the range of $5 million to $20 million in 2,000 square feet to 5,000 square feet. We have just secured our first new location for Design Studio in Palm Desert, which should open in the first half of 2024. We've identified over 40 locations that are incremental to our previous plans in North America and believe the results of these design studios will provide data that could lead to opening larger galleries in those markets. Outlook. As mentioned, we are raising the low end of our revenue guidance for the year to a range of $3.04 billion to $3.1 billion and maintaining our outlook for adjusted operating margin in the range of 14.5% to 15.5%. We estimate the 53rd week will result in revenues of approximately $60 million. For the third quarter of fiscal 2023, we're forecasting revenues of $740 million to $760 million, and adjusted operating margin in the range of 8% to 10%. We expect to have increased advertising costs of approximately $50 million versus Q2 2023, reflecting the shifting of the RH Interior Sourcebook from Q2 to Q3, the mailing of RH Contemporary Sourcebooks, and the mailing of our first Sourcebook into the United Kingdom. For the fourth quarter of fiscal 2023, we're forecasting revenues of $760 million to $800 million, and adjusted operating margin in the range of 14.4% to 16.6% with incremental advertising costs of $5 million versus the fourth quarter of last year. RH business vision and ecosystem, the long view. We believe, there are those with taste and no scale and those with scale and no taste. And the idea of scaling taste is large and far reaching. Our goal to position RH as the arbiter of taste for the home has proven to be both disruptive and lucrative as we continue our quest to build the most admired brand in the world. Our brand attracts the leading designers, artisans, and manufacturers, scaling and rendering their work more valuable across our integrated platform, enabling RH to curate the most compelling collection of luxury home products on the planet. Our efforts to elevate and expand our collection will continue with the introductions of RH Couture, RH Bespoke, RH Color, RH Antiques & Artifacts, RH Atelier, and other new collections scheduled to launch over the next decade. Our plan to open immersive Design Galleries in every major market will unlock the value of our vast assortment, generating revenues of $5 billion to $6 billion in North America and $20 billion to $25 billion globally. Our strategy is to move the brand beyond curating and selling product to conceptualizing and selling spaces by building an ecosystem of products, places, services, and spaces that establishes the RH brand as a global thought leader, taste, and place maker. Our products are elevated and rendered more valuable by our architecturally inspiring galleries, which are further elevated and rendered more valuable by our interior design services and seamlessly integrated hospitality experience. Our hospitality efforts will continue to elevate the RH brand as we extend beyond the four walls of our Galleries into RH guesthouses, where our goal is to create a new market for travelers seeking luxury and privacy In the $200 billion in North American hotel industry. Additionally, we are creating bespoke experiences like RH Yountville, an integration of food, wine, art, and design in the Napa Valley, RH1 and RH2, our private jets, and RH3, our luxury yacht that is available for charter in the Caribbean and Mediterranean where the wealthy and affluent visit and vacation. These immersive experiences expose new and existing customers to our evolving authority in architecture, interior design, and landscape architecture. This leads to our long-term strategy of building the world's first consumer-facing architecture, interior design, and landscape architecture services platform inside our galleries, elevating the brand and amplifying our core business while adding new revenue streams while disrupting and redefining multiple industries. Our strategy comes full circle as we begin to conceptualize and sell spaces, moving beyond the $170 billion furnishings market into the $1.7 trillion North American housing market with the launch of RH Residences, fully furnished luxury homes, condominiums, and apartments with integrated services that deliver taste and time value to discerning time-starved consumers. The entirety of our strategy comes to life digitally with The World of RH, an online portal where customers can explore and be inspired by the depth and dimension of our brand. Our authority as an arbiter of taste will be further amplified when we introduce RH Media, a content platform that will celebrate the most innovative and influential leaders who are shaping the world of architecture and design. Our plan to expand the RH ecosystem globally multiplies the market opportunity to $7 trillion to $10 trillion, one of the largest and most valuable addressed by any brand in the world today. 1% share of the global market represents a $70 billion to $100 billion opportunity. Our ecosystem of Products, Places, Services, and Spaces inspires customers to dream, design, dine, travel, and live in a world thoughtfully curated by RH, creating an emotional connection unlike any other brand in the world. Taste can be elusive, and we believe no one is better positioned than RH to create an ecosystem that makes taste inclusive and by doing so elevating and rendering our way of life more valuable. The end of COVID confusion, the beginning of the next evolution. We've spent far too much time over the past four years debating if this was going to be the Decade of Home or the Death of Retail. If inflation was transitory or if fiscal tightening was mandatory? Home sales and prices shooting up like a rocket, and now falling to earth like a rock. For the first time in my career retailers were comparing their growth rates to any one of the past four years in any given month of any given year. The fact is we're directionally in the same spot we were four years ago, worrying about a financial recession and the polls saying we might have a Presidential regression. If there was ever a time the world needed a compass, this might be it. For the people of Team RH our compass is our vision, values, beliefs, and culture. Those things that drive us and unite us. Those things we live for, would fight for, and die for. After several years of being apart due to COVID, we finally returned to The Palace of Fine Arts Theater in San Francisco for what used to be our annual Leadership Conference and we talked about those things. For the first time in the past four years everything came into focus, clear replaced fear, and connections were personal and not virtual. It felt different because it was different. There is a different level of accountability when someone is standing in front of you, looking straight into your eyes and making a suggestion or a request versus looking blankly into a screen, not knowing if those on the other end have you on mute, or just aren't very interested. It's time to break the bad habits of COVID. It's time to get off the screens, get out of our home office, and reconnect in our team office, or as we did at the Palace. It just felt different, because it was different, and I'm sure it's going to lead to an outcome that's different. Yet it also felt familiar, like finding our way back home. Back with our people, where none of us are smarter than all of us. Getting all the brains in the game and the egos out of the room. Listening and learning, discussing and debating, elevating and aligning. It felt like the beginning of our next evolution, and it felt like we were beginners again. Never underestimate the power of a few good people who don't know what can't be done. Especially these people, onward Team RH, Carpe Diem. At this time, we'll open the call to questions.
Operator: [Operator Instructions] Your first question comes from the line of Steven Forbes from Guggenheim Securities. Please go ahead.
Steven Forbes: Good afternoon, Gary, Jack. Gary, I was hoping you could maybe just expand on what's driving your confidence in seeing an inflection in the business during the back half and what the early indications from the RH Interiors books, and I guess RH England as well? Inform me about what the potential re-acceleration in demand could look like as we think out to '24 and beyond?
Gary Friedman: Sure. I think there's a couple of dynamics happening. I think you've got a kind of a cycling of the backside of COVID and you've got a cycling of the dramatic rise in interest rates and the fall-off of the highs of what I’d call a COVID and a zero federal funds rate driven home market. So from our view, I think that cycling happens at the end of this year. And the question is, is there a longer downdraft in the home cycle? I think that the answered questions really deal with, if you say what's the problem with the housing market today? You've got this real delta in interest rates between people who bought a home over the last several years at dramatically lower interest rates that are sitting there with 2.7% call it 3.4% interest rates, 90% of the market is fixed, so you've got 90% of market owning homes with really low-interest rates and you've got a interest rate gap, like current 30-year mortgages are going for 7%, somewhere between 6.8% to 7.4%. It's kind of the range depending on credit. So you've got a huge spread there and what's compounding that huge spread is you haven't had home prices drop enough yet, right, to offset that margin spread. If home rates dropped -- home prices went up 42% in the two years post the COVID. And during the COVID boom, once COVID hit and there was everybody who stuck at home and focused on exiting cities, yeah, the biggest migration from cities to suburbs in history and the biggest migration to second homes in history. So you've got a lot of people that moved at a record rate, you've got a lot of people locked into really low interest rates. Now you've got really high-interest rates and you have no inventory in the market and you have no inventory in the market, because people can't afford to buy a new home once they sell their home because they're going to trade at 2.7% to 3.4% interest rate for call it a 7%, 7.2% interest rate, maybe at the midpoint. And so you've got a lock on that. Well, we're going to begin to cycle this. So if there -- if the Fed has CPI, if they have inflation under control and we don't -- there doesn't have to continue to be kind of tightening. The question is when do home prices come down enough for people to step up and pay the higher rate or when do rates come down and close that gap? Either housing prices have to come down or interest rates have to come down or the gap doesn't close, right? So you may kind of wallow at the bottom or there could be further downdraft, if there is a more broader economic issue in the economy or if anything is happening with the commercial market with offices is not a good market. And our view is not all that negative news is kind of unveiled itself. So there's -- but we're -- from our view, we're kind of at the end of the worst of it. It's -- is there going to be a bounce? I mean, if you look forward at the market, it is saying that we should expect interest-rate cuts starting next year in Q2, Q3, and Q4 maybe 100 basis points. Does 100 basis-points of interest-rate cuts move the housing market much and maybe moves it a little. But I think there's going to be a bigger -- you got to close this gap. It's a gap that I've never seen and I think anybody in the phones ever seen. That's created kind of a conundrum in the housing market and then you've got -- look the news in the press, so new houses are up 20%. Well, new houses are only 10% of the market, the existing home sales is 90% of the market. So until you get existing home sales and this market stabilized, not a downdraft, that's going to be critical. So we expect stabilization we think next year. We don't think there's going to be acceleration until there's interest-rate cuts or pricing comes down, home prices come down to kind of close that gap. So let's put that off to the side, that's one issue. Then you've got what we're doing, which is a complete transformation, reimagination, refresh of the brand that we've been working on now for several years. It's going to be unveiled here over the next several quarters. So, the early indications on the books. And again we're hitting 40% of the books in home by the end of this week, look really good. The early, early indications. Now, you got to be careful in how you extrapolate that because you have to extrapolate it on, okay, what does this look like when all the books get in home, what does this look like when the in-stocks reach their best, their optimum levels? What does this look like when you start refreshing the galleries and the stores with those? There's all lift factors to all of that. So when we look at this and we extrapolate this, we think there's going to be a real inflection point. How big is that inflection point? It's -- to us it looks like a meaningful inflection point. And then there is a part of our decision to kind of push the mailing into Q3 was to kind of take a longer-term view of what should be our contact strategy as we've now are going through this brand refresh and re-imagination and repositioning. And our view was we through history, we went through cycles where we contact the customer twice a year with each book and periods where -- years where we contact the customer once a year, one kind of big cycle of mailings. And our view is I think we've got to re-acclimate the consumer to the RH brand, to the newness, the excitement that's in the brand and everything we're doing. And our view is to set up a two-contact strategy. So the timing of those contracts -- contacts we should what we believe should be a fall contact -- and a kind of fall contact and a spring contact. It's how I'd frame it. So fall being kind of a mid to late August contact that gets in-home by end of September. Our books -- especially our interior books -- our interior book at 604 books nobody does a 604 book page book than -- other than us and getting that printed inbound and through the system takes longer than it will on our other two books that will be more in the 300-page range. So we've got this first contact that will give all-in-home kind of call it, end of September, first week of October. And then we're going to come out with the contemporary books kind of mid-October through late October and then will come with the January books -- with the contemporary book in the October period and then the modern books in early January when people get back from holidays and so on and so forth and everything reopens again. Then we'll cycle back around and we'll hit everyone this next contact if you look at over 12 month period and that will be kind of a March, April, May, June contact and so the three books will hit again. We'll have another meaningful round of newness coming. And by the end of that contact, we will be kind of fully transitioned. It doesn't mean we won't have new products in the next contact when you think about the next fall. But the percentage of newness will be more in the 15% to 20% range where this is basically an 80% refresh of the brand. It's massive. It's the biggest product move I've ever made in the history of my career and I've made some pretty big product moves. So you've got to kind of think about how you're spreading it out, how much can the consumer digest at a time. How you're going to read it correctly and how you're going to have the contacts not overwhelm them in the news matter -- overwhelm them. So as we kind of took a bigger view at it instead of this kind of one view and looked at it more how do we think about strategically, maybe, call it over the next three years? We think this is the right contact strategy and will create -- by the peak of the inflection, I think it will be really meaningful. I think we will gain significant market share versus anybody else in our category. And I think the other thing to put into context is just how we think about disruptive pricing from a circular point of view which I think we've -- in our efforts to elevate the brand, I think we weren't as kind of critical-minded looking at price. I mentioned in last conference call, I thought we probably were a bit arrogant looking back and now I think we're laser-focused and laser-sharp. So we're going to be very aggressive. We're going to use the size and strength of our platform and the leverage it gives us to be disruptive from a pricing point of view. And so -- and I think that's going to make a meaningful impact. I think if you look at the new books and you look at the messaging and you look at the key items and you look at the key collections and you look at the quality of the product, the design -- the quality design and the quality to make the product and you look at the value that the price -- value of that product, I think it's going to disrupt a lot of people. And so I think we're as confident as we've ever been. I think that's the timing. And then the unknown is what does the housing market do? Is it flat? Does it go down another 5% or 10% or do we get a bounce? Regardless of whatever happens to the housing market, we're going to have a meaningful inflection point with the business and the brand. And that's why we deployed the capital, that's why we bought back 17% of the shares, 3.7 million shares And -- so we like what we see early with the books here. We like our strategy. I think we're laser-focused on this. And I think we're going to come out looking really good. So that's how we see it.
Steven Forbes: Thank you, Gary.
Operator: Your next question comes from the line of Simeon Guttman from Morgan Stanley. Please go ahead.
Simeon Guttman: Hey, Gary. Hey, Jack. My question -- one question maybe two parts is, you mentioned product transformation and margin dilution. Is that all contained to '23 or did some of it move into '24? And then, Gary, to your point, if this market wallows a little and we do have another downdraft, given that you have leverage or the business has leveraged now, or little more than that it's normally used to, do you operate anything differently if the macro just takes longer to come out and then maybe the curve is steeper in later years but it's flatter in the medium term?
Gary Friedman: Yeah. I think by the first half of next year the inflection is going to be much more significant than the macro. So I don't think it changes anything for us.
Jack Preston: On the margin dilution, Simeon, look I think about it also just -- where the margin or the discounting activity and clearance of that inventory will be in Q1 of '24 versus Q1 of '23. So, yeah, there's going to be still some of that in the first part of the year.
Gary Friedman: But there's going to be -- I think about it there's two things, right? You've got margin dilution from a product margin point of view as we're transitioning the assortments and -- but you're going to have leverage and margin accretion throughout the model based on what we believe will happen with our top line. So, yeah, I think '24 is going to be a very good year. Unless there is some kind of crazy crisis that we don't believe is on the horizon. I think that the history would tell us, if things really got worse at the Fed is going to ease. If I look back at the last 20 years, I mean, the Fed’s been very consistent. We've lived in a very long period of really low on interest rates with just a few slight blips that are high and I think the Fed will act in a way that will stimulate the economy again. So -- and then housing will at some point the housing will take off, right? You've got a lot of pent-up demand. It's just that the demand can be super pent-up but if the gap doesn't change, right? If either pricing doesn't come down or interest rate gap doesn't change, interest rates have come down. One of the two things happens. If they both happen, the prices come down and the Fed eases, you can get a -- I think we can get a really good bounce in the housing market. But we just can't control that. We have a point of view on it, share our point of view looking at a lot of things and we got a lot of data that we study. The key for us is like if you're -- if we think about the balance sheet, which we do, we deployed a lot of capital, we have a lot of confidence in the model. We're in the middle of a transformation. It's not -- this is not by any means the first time we've done it. It's the biggest thing we've ever done. But our experience in making moves like this is deeper than anyone in this industry and we're laser-focused on it and we understand our balance sheet really well and what our cash flow is going to be like. And the timing of capital outflows and projected inflows and we hit all kinds of downside models and know how to operate in any kind of environment -- any kind of difficult environment. I mean, so we don't fear the leverage and we've had a lot more leverage on this business and people have seen us navigate through those situations in a relatively uninterrupted way except for the real depths of 2008-09 or something like that. So we feel great. But I think the key headline, I'd say, I just would be really -- it would be shocking if we don't outperform whatever macro might happen in the first half of next year unless it is so severe that it becomes some kind of a crippling thing across the economy, and I just don't think that's going to happen. I think that the Fed is going to do the things that the Fed usually does. And if we get any kind of stabilization or uptick in the market, like, we will have an incredible year. So, I think we're set up better than we've ever been set up in the history of the business and I think we'll have the biggest inflection point we've ever had is my view by Q2 of next year. Like, there'll be an inflection point before that, but I think will peak. When I look at all the lines and I think about production and in-stocks and floor sets and all that, all the transition moves we have to make, I think that when that second cycle of the books, I think it will start to peak then and then I think we're going to have an incredible run.
Operator: Your next question comes from the line of Steven Zaccone from Citi. Please go ahead.
Steven Zaccone: Good afternoon. Thanks for taking my question. So I wanted to shift to the RH England opening. It sounds like it's a good successful opening event, but it will take some time to maturity. Do you expect the rest of your international openings to resemble this maturity curve or is this the longest one since it's kind of your first? And then similarly the letter confirmed nine international openings by 2025. Can you talk a bit more about the pace of annual openings for international going forward? Is three kind of the right number? Thanks.
Gary Friedman: Yeah. Let's start with first one. One, RH England is unlike anything we've ever opened, not just because of an international perspective, but really the kind of location and our view of how we wanted to introduce the brand and when we wanted to introduce the brand. When we wanted to introduce the brand in a very unique and unforgettable fashion. Just because the US isn't really seen from a European perspective when you think about design taste and style luxury market so on and so forth. That's not really the game we play really well. I think I made the comment before. The only true luxury brand we've had I think in the United States is Tiffany, and now the French own it, right? And all the luxury brands are from Europe. So how are we going to go into that world and introduce ourselves? We thought that was really important. And so -- and we also thought the timing, like how do we kind of get their name known and establish ourselves in a unique way. And we could have waited and opened Paris first store, we could have waited and opened London first. We would have had to wait longer and we came across this opportunity at this property and we thought this could be something remarkable. It could be a really great introduction for the brand. And I've always said that we've made the decision on RH England because of its location. It's an hour and 45 minutes outside of London. It's in the Cotswolds, it's around wealthy and affluent people, but it's not around density. You don't have anybody kind of walking by this Gallery. Like it's not. It is a true destination and it's you kind of got to go out of your way. But you're going to something spectacular that you've never seen before. So the impression of it is like nothing else, and I don't want to make the wrong comparison here, but if you just think about kind of things that have went into the -- what I call the middle and nowhere and changed everything, you think about Disneyland. Disneyland opened in the middle of nowhere. If you went back, when they opened, that's the middle of an orange orchard and there was no one around. No one -- there was no population density anywhere near it. And it changed everything. If you think about, you know, Las Vegas. Las Vegas didn't exist. It was created and I'm not trying to make a correlation that's exactly right. What I'm trying to say is, we're trying to create a brand at a level of the market that hasn't been created before. And our view was that this was a decision that was more to drive a conversation than it was to drive commerce. We never thought this was going to be a high-volume gallery. But we didn't think it'd be no volume. I think it's going to be fine. I think it would take much line. If you took anything like this and put it in London, I mean it's going to do multiple times immediately multiple times faster, it's a little inconvenient. But it's extraordinary. And a lot of really extraordinary things in the world started to have been inconvenient, right? It was inconvenient to get an iPhone, inconvenient to get a Tesla. How long did people wait to get a Tesla, how long people wait? How long they waited to get the new Roadster or the cyber truck? So it's -- you've got to kind of think about what are the long-term things you're trying to do. We're trying to shape the brand in a way that's -- brand has never been shaped before. Introduce the brand to Europe, where the luxury brands are, and create the right conversation with the right people and create that right halo for this whole thing to then as you introduce it in the other places, there's an excitement about it. They've heard about it, it's coming, they've seen it, posted, they've seen it written about. I mean the press we've gotten on it was just incredible. It's multiple times higher than any gallery we've ever opened because it's something nobody's seen before and it's given the world something to talk about and we have really interesting and high-profile people showing up there, setting up appointments there and wanting to do collaborations with us. Some of the highest-end car brands in the world want to do car shows on our property and things like that. I mean, and so I think it's just going to open up all kinds of new opportunities and new conversations and new perceptions and possibilities for the RH brand. But it's not the Gallery I would use to kind of say, oh, let me extrapolate what happens here. We don't have anything like this in America. We don't have any kind of location like this that’s similar to this at all. So -- and that's why I think it's getting so much conversation, but it's not the most convenient place to shop. We knew that going in. So this is really to kind of introduce the brand, create the right conversations, let it build, let's go through a winter, let's go through a cycle, let's see what we have to do. And remember, we haven't mailed a book yet in the UK. So we've got very little advertise. We've got all the press, everyone's written about it and then we run a few ads on some magazines and stuff like that. And -- so I think in all the other locations we’re opening are highly visible in the major markets, lots of traffic around them. More what I’d call typical from a location point of view. Not typical from a competitive or market point of view. They're going to be extraordinary galleries, some more extraordinary than others and some of the markets are more important, in some locations we took some of the Abercrombie locations that we might not have taken to get London and Paris because they're such incredible locations. And so there's some things that are smaller that we're not investing much capital to but we're going to open and then we're going to learn. But I'd say, you can't use this as a proxy, it's not there -- I don't know if we'll ever build something like this again. We may, but it is not what anybody would typically do, but that's why everybody is so interested in it and that's why they're writing about it and that's why they're talking about it and that's why the quality of people that are going there are people who just probably wouldn't -- you might not have had them come had you opened something ordinary. But they're coming because it's extraordinary. And -- but it's just one small piece of a much bigger composition and puzzle we're putting together just to build the RH into a truly dominant successful luxury design brand.
Steven Zaccone: Second part?
Gary Friedman: The international opening cadence. Yeah, I think this is a start from the opening cadence. I like our start -- I think, it is moderately aggressive I think that we've got planting the lot of flags in important places and really dominant fantastic real estate and we're super excited about it. So -- and I think we're going to learn a lot in the next three years.
Steven Zaccone: Thank you very much.
Gary Friedman: Sure.
Operator: Your next question comes from the line of Brian Nagel from Oppenheimer. Please go ahead.
Brian Nagel: Hi, good afternoon.
Gary Friedman: Hi, Brian.
Brian Nagel: So, my question with regard to the buyback. So you clearly stepped up buyback significantly here in the quarter. So the question I have is, how should we be thinking about this? Was this more or less a kind of a one-time adjustment or is it should we expect the buyback stay aggressive here going into future quarters?
Gary Friedman: We communicate our intentions with every kind of buyback. We still have open to buy on the buyback, I think a few hundred million, [several hundred million] (ph). And so, yeah, I think we made a relatively aggressive move here and it's -- we think we bought the 17% of the business at a really attractive price. And I think our shareholders are going to benefit from that and if we're right with our view of the next couple of years, it's going to look like a really great investment. How aggressive will be in future quarters, I think if you've looked at us historically, we're kind of optimist -- opportunistic. We're not like a big corporation that sets up a regular buyback every quarter and stuff like that. I mean, if that was smart to do, Warren Buffett would do it, right? Warren Buffett is a very opportunistic repurchaser of their stocks. And we're trying to be opportunistic investors. Whether it's in our stocks, whether in anything that we do. So we think this was a great time to deploy capital and buy back a meaningful position in our company. And it depends what the market does. Depends on what we see and how we feel, what we'll do in the future.
Brian Nagel: Appreciate, it. Thanks, Gary.
Gary Friedman: Sure. Thank you, Brian.
Operator: Your next question comes from the line of Curtis Nagle from Bank of America. Please go ahead.
Curtis Nagle: Hey, Gary. How are you doing? Thanks for taking the question. So I just wanted to go back on the point, you mentioned in the shareholder letter, just about some of these early signals that we're reading pretty positive from Sourcebook launch, right? You said, it's still early, but curious if you could just elaborate a little bit in terms of what you meant? Are we seeing more people come back into the brand? Are we seeing conversion rates go up? The larger order size. I would just love to hear a little bit more about some of the findings in detail if you could?
Gary Friedman: Yeah. Well, we -- look the new collections that we think are the meaningful collections are acting like they're going to be meaningful collections and the markets that the books are getting into look good, the responses look good. And so you just got to see it over a period of time in our businesses and our business is a -- it's driven mostly by advances. It's driven by people buying a new home, remodeling a home, or deciding to redecorate a home, all of which don't happen very often, right? So it's a very high transaction value kind of business. So if you look at our customers over a period of several years and take their peak day, they spend roughly 80% to 85% of what they spend with us in a kind of a 90-day period, right? And then they spend very little if you look out the next couple of years on the end. So you've got to kind of get them when they're buying and that's why the business will get us impacted more than others during a cyclical down-market like this and look, we know when we exited the holiday businesses and all the -- whether it's Halloween business and the Christmas business and the accessories business, we're not very dominant in those businesses as we used to be. And in a down cycle, we wouldn't take as big of a hit because people are still buying the small things. We don't sell really much in small things and we don't sell any kind of seasonal holiday stuff, right? So we'll take bigger hits than other people in these down-cycles, but we will have bigger ups in the up cycles and -- because of the mix and stuff like that. So -- but you're not going to see people right away like the books won't hit and you're not going to see the full potential. You need to let these books kind of get in and usually we get ramped in a book by three months, we hit kind of ramp rate. And that's if in stocks happen well and so on and so forth and things build and so on so forth. But we like everything we see. I mean, we really do. I mean, the early signals are good and -- which want more time and we want to transition and set a few stores with some of the new goods, we want in-stocks to build. We've got a lot of new things that -- some look like they're going to be runaways and so you're going to say, okay, how do I get in front of that and how do you reallocate production time and so on and so forth. And you got some things that are -- you're always going to have things that outperform what you think and underperform what you think. So you take all the pluses and minuses and aggregate those, but then focus your efforts to optimize your real winners and -- but everything real early, everything looks, I'd say, real good for only 40%. So just keep that into context. I'll have a lot more to say next quarter. And if something really is meaningful enough, maybe we talk to everybody or do something sooner. We'll see. I mean this is -- we're very early and we're very positive. But we're still in a not-so-positive housing market environment. So it's going to be a conservative tone to a degree but will be a lot smarter in another eight weeks and then we'll have enough information to make moves to kind of think about investments in the first half of next year from mailings perspective and how big, how deeply we go, how right are we, and how big do we go. But we're going to be some degree of right here. This is not going to be a swing and a miss. I mean, I don't want to jinx anything. But, like, we've been doing this a long time and we're good at reading the data. So it's just -- I think it's just, what degree of really good to great is the outcome? And then [indiscernible] as a reset, and then how do you compound on kind of that reset?
Curtis Nagle: Got it. If I may, just a follow-up? International, so you've got Munich and new stores coming up, right? I think secondly, within the four months, just looking at the newsletter, how are you feeling about things openings? And I guess just curious why lead with those two cities?
Gary Friedman: Yeah, those are just smaller ones. Yeah, smaller ones who don't have a lot of capital like they --
Jack Preston: Nor hospitality.
Gary Friedman: Nor hospitality or anything, right? So these are some locations that we thought the locations were decent. It will give us some without putting a lot of capital in, just give us some feedback at the brand out there. I mean, look, I mean Abercrombie didn't have any bad locations. These were just -- we think we're going to get -- we're in a learning -- get information, right? And then we'll decide how long might we stay in these locations because we've acquired some leases and are there bigger or better places to go. And what do we do? But I think one of the key things is just kind of get the brand out there in a good way. But the real key was what did we do first. When people met us or heard about us, what did they hear, what did they get pointed to, how do they think. So now, we've done that. I don't think people will think Munich and Dusseldorf aren't beautiful galleries, they're just not going to be at the level of London and Paris and Milan and some of the other ones we're doing. So -- but like they're locations that where we were prior to take to get some of the really key locations that we really wanted and that was Central London and the Paris locations. So we think these are fine. Okay. Let's get going. Let's learn, let's see how the business builds. Let's quickly learn how to operate in these different countries at a relatively low investment and a much lower effort than doing the really big ones with a lot of work that take multiple years that -- and that have hospitality and other levels of complexity. So --
Curtis Nagle: Got it. Thanks. I appreciate the thoughts.
Gary Friedman: Sure.
Operator: Your next question comes from the line of Seth Basham from Wedbush Securities. Please go ahead.
Seth Basham: Thanks a lot and good afternoon. My question is around margins. How should we think about the product margins on the new product lines that you plan to be much sharper on pricing? So if you are thinking about consolidated gross margins in the mid-40% on a run rate basis going forward?
Gary Friedman: I think we'll have more to say. I think we believe long-term emergence can be at our historical highs. I think we've got to kind of win some share here, and we've got to play a little offense and just be sharper. And so there's some -- there's a few points of investment we're making there, but we also have places where we're playing aggressively, but our margins are at historical highs. So it all tends like what we're targeting, how we're targeting certain categories. [indiscernible] more to say, yeah -- let's see how these books do when they get in. Let's see what's performing, let's see what we're responding to. There's going to probably be places where we've taken pricing that's really sharp. There are many places we're going to take pricing up, right? We've already got one collection that's kind of through the roof. It looks like our best collection ever. Then we're going to probably take prices up this week. So just as we've got so much demand, and we think we can -- the product is still going to be positioned at a disruptive value. We probably just swung the pendulum a little too far on some -- this is -- the business we're in, it's day-to-day, week-to-week, you're learning, you're getting data, you're rethinking things, you're -- everything you do when you buy a new product is speculative based on backward-looking data. So you're never -- everything we buy is 100% wrong. We've never bought anything and we go, that thing is exactly how it's selling. That's exactly right. So you're only suggesting, right? You're getting real data, real information. And then you're learning from that, and you're extrapolating that and you're making next best decisions. So I wouldn't jump to any conclusions just because of our, what I'd call, more short-term view of just trying to transition from the current kind of products to the new -- the next-generation products and playing offense from a disruptive value equation point of view. It's how we got here. I just think it's probably, we should have kept that edge the way we did, and -- but you go through a period where you're in COVID and your business is running at 40% and your prices are going up and you've got -- you went through -- we went through multiple rounds of tariff increases and price increases and supply chain increases and COVID increases and ocean freight increases. And I think that's why I made the comments I did at the end of my letter. Like, I think we're finally at the point of everything that kind of like made everything go up, with COVID, it's one that -- kind of the backside of the cycle of everything going down and everybody -- everything washing through. And I think if you just like kind of take those years and say, okay, what are the best things I learned, now get them out of the way and you've got to kind of rethink about your business, but I think -- I just wouldn't make any long-term assumptions based on anything that's happening on a short-term basis right now in this transitionary period. I think you'll see us return to a really good model. If we get the inflection that we believe that's going to happen in the top line, especially where we think it will peak as we get into kind of the first half of next year, you'll see our whole business model snap back.
Seth Basham: Right. But just to be clear, Gary, so the margin -- the product margins on the new product that you guys are launching over the next, say, six to nine months is going to be lower by a few points, and what you are earning on products during the pandemic. And then the real benefit that gross margins could be from volume, improved volumes?
Jack Preston: That's not necessarily. So we weren't that specific. We don't guide gross margin, as you know. We don't disclose product margins. So we're trying to tell you just a directional flavor. And I think just to recap a little what Gary said, some products are going to be higher, some products are going to be lower. We're not making a general statement that I'll just -- you can roll back the tape on what Gary said as far as the investment we're going to make. That's right. But as far as like what the future is going to look like, let's just let that play out, and we're going to make margin commentary, especially gross margin commentary after each quarter's results because, again, we don't guide that particular line.
Seth Basham: Understood. Thank you, guys.
Gary Friedman: Thank you, Seth.
Operator: Your next question comes from the line of Max Rakhlenko from TD Cowen. Please go ahead.
Max Rakhlenko: Great. Thanks a lot. So if we were to bucket your initiatives over the next 12 months into US gallery openings, European openings, and then new product introductions, how would you rank-order their magnitude? And then just for clarification, how much of a refresh inside the gallery should we expect both over the next one to two quarters and then a year from now, both in terms of new products as well as the number of galleries that the new products will hit? Thanks a lot.
Gary Friedman: Sure. I -- take the product, and the product is by far the most important thing we're doing, right? And the new openings and building out the platform, those are -- it's the platform for the product. So what we're doing with the product is going to make the most meaningful impact over the next several years. So when you think about the investment in gallery floor sets, we just began setting RH Marin next to our headquarters and we will all see it over the next -- it gets fine-tuned over the next couple of weeks. It's kind of a Phase 1 move of it. We have kind of right now, Phase 1 and Phase 2, and then we'll have a Phase 3. I think you'll see the majority of the galleries reset by Q1 next year and as we --
Max Rakhlenko: All the galleries.
Gary Friedman: Yeah. Yeah, all the galleries, yeah, reset. And then you'll have some winners and some losers in kind of the product mix. And as we mail the modern books going in in January, I mean, you're going to find out there are some things in modern that are probably really good and better than some things we might have just rolled out into the galleries, and you'll make some adjustments. But I'd say we'll be -- by Q2 of next year, we'll be really educated. Especially by the late Q2, we'll have had two cycles of drops. We will have a lot of newness; we'll have kind of the first phase, the major phase, second phase, still not as major as the first phase, but still more meaningful than normal. And we'll have had a good period of time to measure and have seen Phase 1 of the product transformation and first drops. And then we'll have some data on this second cycle and we'll be fully ready for the second half of next year, but to kind of keep optimizing it, right, because we're going to just get a lot of data, a lot of information, be making a lot of adjustments. And we'll keep doing things that kind of, what I'd say, build the trend. When you go through a big move like this, it's you're going to get some of it really right and you're going to get some of it wrong. As long as you're throwing more things above the line and below the line, then you're going to learn and then you're going to make adjustments. And those adjustments will move the business higher right? So I'd say we'll hit max inflection in Q2 doesn't mean we'll pick max run rate. When I talk about the inflection, I talked about the early inflection, then we'll build on that. right? So I would assume that the first half of next year will be very good and the second half of next year will be better than the first half.
Max Rakhlenko: Got it.
Operator: Your next question comes from the line of Brad Thomas from KeyBanc Capital Markets. Please go ahead.
Brad Thomas: Hi, good afternoon. I was hoping to follow up on the topic of operating margins. And I'm just hoping we could maybe frame up some of the puts and takes. Obviously, the full year implies kind of the mid-teens level for the operating margin. Can you help us think about maybe your latest thoughts on structurally what the operating margins look like in this world where you're opening up stores internationally in this world where you have a new product coming out, there's more Sourcebooks. What do you think sort of normalized margins start looking like as you get back to revenue growth again. Thanks.
Jack Preston: I don't think -- Brad, we're ready to talk about that. I think we're talking about some short-term changes, near-term impacts to the margin and especially moves related to -- and making some investments due to competitive reasons, as Gary had talked about. So what the other side of that looks like? We have our discussion with you about each year's guidance in March, so we'll do that and give you a better look then. But as far as we sit here at the end of Q2 and the many sort of changes in levers we're plowing forward with, we just don't have that visibility or that ability to tell you what the steady state looks like other than as revenue grows and we get leverage in the business, we expect margin to increase from here. Where that baseline level is -- I'll let Gary chime in here.
Gary Friedman: No, I think that's correct. I mean, I think we're -- for the most part, we're giving you color today maybe slightly more different or a different angle on the color than what's written in the letter. But we don't want to kind of talk about things that we don't -- that we haven't really released, right? And we're not really releasing kind of that far out. But yeah, all of us on this call are going to know a lot more next quarter and the next quarter. And we're either going to be more right or more wrong. We think we're going to be more right than wrong. And everything that we said we believe in. And it's -- there's some level of speculation, of course, but there's a lot of data that we have based on doing what we're doing, introducing newness, mailing Sourcebooks, resetting floors. We know all the lift factors and what will happen if we do this, that. And we're directionally usually right on those things. And so we've been rusty. We've been somewhat out of the game, and we're going to come back into the game in a very impactful way. So yeah, we're looking forward to kind of get into data. But look, the good news is the early data shouldn't look at that. It looks good. So, so far, so good. That's as much as we know right now.
Brad Thomas: Gary, maybe if I could ask you another way, when you did some significant share repurchase back, and I think it was in 2017. You later described that time as a period where you've kind of taken the racetrack of -- car off the racetrack and done a lot of surgery on it. Does it feel like it's that significant of a time for you as you think about how you're positioned in the company?
Gary Friedman: Yeah, bigger than that. We've redesigned the whole fleet of cars. It's really the biggest repositioning of the business we've ever went through. And, yeah, I think the best work we've ever done. So it's much bigger. I think it's going to be much more significant than that. And look, we just bought back a lot of stock. We played -- we put our money where our mouth is, right? We took a really big position in the stock, and we've allocated a couple of billion dollars that's twice as big, I think, it's the buyback back then. So we wouldn't have done that if we weren't confident and our Board wouldn't have let us do that unless they -- unless they were confident, right? So this is a fully informed kind of position we're taking from an investment perspective on inventory, on share repurchases, but we're not a new team. Experienced team and experience Board. Like you said, we've done this at just a smaller magnitude. We were a smaller company, too. So we're a bigger company [indiscernible]. So I kind of like where things are. I think, look, there's -- everybody is speculating, right? Like if you just like -- just look at what happened in this quarter, our stock started this quarter the day after earnings, $274 a share.
Jack Preston: $247.
Gary Friedman: Yeah, $247 a share. At the end of Q2, it ended today at $369. It peaked at $402. It went up 49%, and it peaked at 63% up. Within a quarter, with the only information and disclosures was we bought back 17% of the shares. So everybody could do the math about how many shares we bought back. And because there's new disclosure that have to be made every time my ownership goes up by 1 point, there's a lot of disclosures. It's a lot of filings. And so you thought, "Hey, you don't now. they're buying back the stock up 17%, this go up 20%, it's about 14%." I mean it went all the way up to 63%. And at the end of today, it was up 49%. After hours, it's still up 36%, even though it's down, I don't know, 28 -- what’s it now 28 points down. So like that, they just flashed it over here a second ago. So -- and people like, wow, like, well, is it a bad day now. Looking a bad day. I don't know we've had 1 million good days, 1 million bad days within a quarter -- not a million, but like so many -- so much volatility in the market because so many people are guessing like what's next, what's this, when is the Fed going to ease? What are they buying back stock? What does this mean? And I would just say, stay focused on what we write. You want to know what we mean, re-read the letter. That's why we write these letters. So it's on there. It's not random comments from a conference call that can sometimes be less focused and just everything I spent a lot of time right in those letters. And the team spent a lot of time together saying like crafting what we believe is the best version of the truth and what we believe is going to happen with the business. We're not going to always be right. But yes, we have a pretty good track record over a long time. And so -- but there's just a lot of volatility at the time of speculation, right? When -- or is that going to ease? Or are they going to tighten the housing market bottoming, is the pent-up demand, is there going to be more inventories, as it relates to our market. And RH's new book is going to work or the good is going to be, or is the customer is going to accept the goods, where the margin is going to be at, okay, all kinds of stuff. We just put out a release today that confirmed the year's numbers, confirmed them and the stock is down $30 in after hours. I don't think any of it made sense going up. I don't think it makes sense right now going down, but maybe it does just to kind of say, hey, where should it be? But yeah, but we're all kind of looking at the same information. I mean that's the funny thing. So I'd say it's like one of the things you learn -- if you really study Warren Buffett, there's a real long-term consistent view about how they operate and what they do. And yeah, we try to learn from people like that or Bernard Arnault and how he's built LVMH and how people have built things. And even if you look at like a lot of people think that there's so much inconsistency with Elon Musk, I see consistency. He consistently innovates. He consistently keeps innovating. And so have you ever hit a launch target on anything or an intra target? No, he consistently doesn't because he doesn't manage the business. He leads the business and he innovates consistently. And so there's always going to be kind of more fluctuation short term. But long term, he's building one of the most incredible businesses the world's ever seen. And so I was just kind of stand back and look at the long term, I hear people snipe at Elon Musk, he bought Twitter and that's stupid, he turned it into X, like whatever. Those are little side shows. The guy is building one of the great companies in the world. Like people say, oh, he lost his head of HR or he lost this like -- no, if you look at it over a number of years, he's building one of the best thing in the world. And anybody that's bet against them has lost a lot of money. And I think we're just trying to build one of those great things. And so we just try to stay focused on the long term, learn from all the short-term data, but don't overreact. We know we made some mistakes and we know we are arrogant in pricing, and we know we kind of -- or muscle atrophied a bit in new product introductions and trying to ramp back up was in our -- yeah, it wasn't our best work. We learned from that. We're going to snap back from that, and you will see us not only snap back, you'll see us better than you've ever seen us and I feel real confident, like, and so we'll see how it plays out. We'll see how right we are.
Operator: Your next question comes from the line of Jonathan Matuszewski from Jefferies. Please go ahead.
Jonathan Matuszewski: Great. Good evening, Gary, Jack, and thanks for taking my question. It's on the contemporary business. In the past, you referenced $1 billion milestone over three years. Just hoping to see if we could get an update on how that business is looking today as more product has been rolled out across the galleries, and how we should maybe think about the run rate of that business, maybe by the time of early next year, which would be a couple of months after the October Sourcebook mailing. Thanks so much.
Gary Friedman: Yeah. I think about the totality of what we're doing here. I wouldn't just isolate contemporary, right? Contemporary -- it's a new book. Do we think it's going to be $1 billion? Yes, we do, but you've really got a -- you've just got to look at this whole thing in concert, right? The biggest book is our interiors book. It'll continue to be contemporary -- modern being number two, contemporary, number three. Contemporary might ramp bigger than modern. We may make decisions, a lot of times, what exactly goes in contemporary versus what goes in modern versus what goes in interiors can be somewhat subjective. Like there's sometimes some blurred lines that are going to be there. I'd say -- I wouldn't go kind of micro like that right now. I think you'll miss the bigger idea. The bigger idea is the totality of the product transformation we're making. And I think about it as we're going to mail about 1,200 to 1,300 pages of product, and across that, 70% to 80% newness. I think the next biggest book that competes with us is 228 pages. We haven't mailed anywhere near those number of pages in a long time, and we've never had this much new product hit a market like this, at the design quality, the quality of the make, and the -- what we believe the value equation. And any time we've done anything like this, we've moved the business meaningfully. And so this is the biggest thing we've done. I think it will be the biggest -- the most meaningful thing that we've ever done strategically. It will reset the company for the next five years.
Jonathan Matuszewski: Appreciate the color and best of luck.
Gary Friedman: Thank you.
Operator: Your next question comes from the line of Steve McManus from BNP Paribas. Please go ahead.
Steve McManus: Hey, afternoon. Thanks for taking the question. So I had the same question on suppliers. We're seeing more and more suppliers go out of business here, pretty big one on the high-end side last week. So just curious what you're seeing with respect to the financial health of some of your key suppliers. Any challenges that you're facing right now that's worth calling out?
Gary Friedman: Yeah. I think you're probably referencing one of our suppliers that filed for bankruptcy, Mitchell Gold and Bob Williams, they are really terrific people. It's just an unfortunate thing. I think they went through some private equity hands and there's some -- they stepped back in the business and got some wrong leadership, made some bad decisions and it kind of goofed up the company. And there is, I don't know, probably $30 million, $40 million of demand with them. We can resource it all pretty easily. We don't see any meaningful interruptions or anything. They're not one of our big suppliers, so -- and I think it just goes to show how hard it is to do every part of the business right. They're -- typically, they were a furniture manufacturing company, really great aesthetic, great marketing, great style. They got into the retail business too, and that added a lot of complications. It's hard when you try to do both. You try to be a wholesale business, a retail business, manufacturing business. You're kind of in three kind of complex businesses right there. So I think there is always going to be some people that kind of don't make it through different down cycles like this. Could there be more? There could. There could be more on the retail side, there probably will be, but we don't see any real fundamental risk to our business that is going to be meaningful. Otherwise, we would have talked about it in the disclosure.
Steve McManus: Got it. Appreciate the color. Thanks, Gary. Best of luck.
Gary Friedman: Sure. Thank you.
Operator: Your next question comes from the line of Michael Lasser from UBS. Please go ahead.
Michael Lasser: Good evening. Thanks a lot for taking my question. Gary, is it right to interpret your statement that you expect the business to inflect in the first half of next year to mean that it's going to flatten out in the first half of next year before resuming a growth trajectory in the second half of next year? And my follow-up question is, would you expect, based on everything that you know today, that your totality of investment spend independent of it's going to be in the gross margin or in the SG&A, is going to be greater than, equal to, or less than what you're spending this year? Thank you so much.
Gary Friedman: Sure, sure. So yeah. Let me just try to be real clear and direct that we expect the business to inflect in the second half of this year, right? Meaning -- and when I talk about inflection, what does that mean? That means a meaningful move in trend, and this means to the upside, right? So we think our business will inflect and our trend will change to the upside vis-a-vis where we've been trending, where -- how the rest of the market is performing. We think we'll have an inflection that will make a meaningful move against all those metrics, right? We'll inflect up against our trends. We'll inflect up against the market trends. We'll inflect up against the competitive trends. We think we will reach kind of a peak of that inflection of this first phase from these books, we think we will hit that in the first half of next year. So I'd say, think about an inflection happening here over the rest of this year, we'll inflect up. And then in the first half of next year, there'll be another kind of inflection above whatever that run rate is, right? And that's against our trends, against the industry's trends, against our competitors' trends. And then as we cycle and get into the second half of next year, I think we will build on that trend, but it may not be as big of an inflection, but it will be a building of momentum. Again, kind of disregarding any kind of meaningful thing that happens in the economy and whatever the -- whatever happens in the economy, I would be surprised if it's more dramatic than our positive inflection, right? So if the market goes down, some step-down, our inflection point will be bigger than that step-down. Does that make sense? Is that more clear?
Michael Lasser: I think I catch your drift. If you've been trending down high teens, low 20% range, the inflection is, look, we're not going to be trending down at this range. The counterargument would be, well, you're going to be facing easier comparisons. It's harder for us to dissect how much is due to just the market getting better.
Gary Friedman: Yeah, yeah. No, you've just got to think about -- think about all those things I just said. What's the industry doing? What are the key competitors doing? What are we doing? We're going to inflect against all of that, right? So it's not just our trend. Our trend will be one of those elements, but we're going to inflect against the industry. We're going to inflect against the key competitors. That's how to think about it.
Michael Lasser: Understood. Okay. And then on the…
Gary Friedman: Just let me -- let me just -- which means we'll be taking market share, right? So I think we've been giving market share. We will go from giving market share to taking market share.
Michael Lasser: That's clear. And then as you think about 2024, will the magnitude of the investment that you're making be larger than, more than, or equal to this year?
Gary Friedman: We haven't guided to that yet. So yeah, we're not prepared to kind of talk about that.
Michael Lasser: Okay. Thank you very much and good luck.
Gary Friedman: Great. Thank you, Michael.
Operator: Your next question comes from the line of Cristina Fernandez from Telsey Advisory Group. Please go ahead.
Cristina Fernandez: Yeah. Hi, good afternoon, everyone. I wanted to go back to the advertising spend and the shift you are making to the twice a year cycle. Like, does this mean you go back to 4% of sales spent on advertising? I know the last couple of years, it was very low or with the product introductions you're making and the new store openings in Europe, does it make sense for that spend to be at a higher level? Just want to get a sense of directionally where that spending goes.
Gary Friedman: Don't know yet. We'll know a lot more when we see the inflection in the business.
Operator: And we have no further questions in the queue at this time. Gary Friedman, I'll turn the call back over to you for closing remarks.
Gary Friedman: Great. Thank you, operator. Thank you, everyone, for your time and interest. Thank you to team RH for your leadership and efforts. Your hard work is going to pay off, and thank you to all our partners around the world who are part of this team. Your support and efforts mean the world to us. And I can tell you, all three constituencies that are all probably listening into this call, I think, share the sentiment that we shared with you today. I don't think we've ever been more excited about the future. And I believe we'll demonstrate that to the other constituencies, and that's the shareholders that are on this call. So thank you, everyone, for your time and attention today. We look forward to the next few quarters. Thank you.
Operator: And this concludes today's conference call. Thank you for your participation and you may now disconnect.